Operator: Greetings, and welcome to the Inter Parfums Second Quarter 2021 Conference Call and Webcast. [Operator Instructions] Please note that this conference is being recorded. I will now turn the call over to Russell Greenberg, Executive Vice President and Chief Financial Officer of Inter Parfums. Mr. Greenberg, you may begin.
Russell Greenberg: Thank you very much, operator. Good morning, and welcome to our 2021 midyear conference call. As always, this conference call may contain forward-looking statements, which involve known and unknown risks, uncertainties and other factors that may cause actual results to be materially different from projected results. These factors include, but are not limited to the risks and uncertainties discussed under the headings Forward-looking Statements and Risk Factors in our annual report on Form 10-K for the year ended December 31, 2020, and other reports we file from time to time with the Securities and Exchange Commission. We do not intend to and undertake no duty to update the information discussed. When we refer to our European-based operations, we are primarily talking about sales of Prestige Fragrance products conducted through our 73% owned French subsidiary, Interparfums SA. When we discuss our United States-based operations, we are primarily referring to sales of Prestige Fragrance products conducted through our wholly-owned domestic subsidiaries. Of note, the average dollar-euro exchange rate for the 2021 second quarter was 1.2 compared to 1.1 and 1.12 in the second quarters of 2020 and 2019, respectively. As you know, a weak dollar versus the euro has a favorable impact on our net sales, while gross margins are negatively affected, and that is because more than 50% of net sales of our European operations are actually denominated in U.S. dollars, while almost all of their costs are incurred in euro. I also don't have to remind listeners that last year's second quarter, much of the world closed down due to the treacherous days of the COVID-19 pandemic. Our sales nearly ground to a halt, and we recorded the first ever quarterly loss in our 33 years as a public company. What a difference a year makes. When we announced initial 2021 guidance last November, our visibility was minimal. Since then, with the benefit of time, we have raised annual guidance twice. Today, COVID-19 and its variants, the distribution and acceptance of vaccines and the wide range of changing regulation in various jurisdictions continue to make projections extremely challenging. Moving on to today's business. 2021 second quarter sales were far better than our best expectations and the operating leverage that resulted was as good as it gets. In the news release we issued yesterday, we focused on the comparison between the 2021 second quarter and first half with the same periods in 2019. We will continue with that format during this call. Second quarter 2021 sales of $207.6 million were 25% ahead of $166.2 million in the second quarter of 2019. Through the first half, our sales are running nearly 18% ahead of 2019's first half, with sales by European operations up 19% and U.S. operations up by just over 13%. For U.S. operations, second quarter gross margin rose to 53% from 52% in that same period in 2019. The decline in the dollar versus the euro contributed to a slight decline in the gross profit margin for European operations, which came in at 67% compared to 68% in the second quarter of 2019. SG&A expense was 42% and 40% of net sales for the 3 and the 6 months ended June 30, 2021, and that compares to 51% and 47%, respectively, in the same period from 2019. European operations SG&A expenses represented 44% of net sales compared to 54% in 2019. And for U.S. operations, SG&A expenses represented 36% of net sales in '21 compared to 40% in 2019. After a hiring freeze in 2020, we made several new hires this year, and business travel has reduced -- has resumed somewhat. But overall, our administrative expenses have not risen in proportion to the top line growth. 2021 second quarter promotion and advertising, which is -- that is included in SG&A, was $33.2 million or only 16% of net sales. By way of comparison, in the second quarter of 2019, promotion and advertising expenses was $36.4 million or 22% of net sales. For the year as a whole, we continue to expect promotional advertising expenses to approach historic levels of 21% of net sales on a full year basis, which based upon our current sales guidance, would be around $157 million in total, implying that we have another approximately $100 million to spend in the second half. Thus far, inflation did not have a significant impact on our operating results, pricing, costs, budget or outlook. This has begun to change in Q3, especially with transportation costs, and we will be monitoring these effects very, very closely. Our second quarter operating margin came in at 22% compared to 14% in the same period in 2019. And for the first half, our operating margin was 23% versus 16% in the first half of 2019. We closed the second quarter with working capital of $462 million, including approximately $298 million in cash, cash equivalents and short-term investments and a working capital ratio of over 3:1. The $133 million of long-term debt relates to our Paris headquarters acquisition, which was financed by a 10-year EUR 120 million bank loan. Approximately EUR 80 million of this variable rate debt was swapped for fixed rate debt. Cash provided by operating activities aggregated $38.1 million for the 6 months ended June 30, 2021. As we have reported last month and affirmed yesterday, we raised our 2021 sales guidance to approximately $750 million, resulting in diluted EPS of $1.95. Our guidance assumes the average dollar-euro exchange rate remains at current levels and that there is no significant resurgence in the COVID-19 pandemic. Once the Ferragamo deal closes, we will revisit the subject of guidance and make adjustments based upon pending orders and inventory levels. Now I will turn the call over to Jean.
Jean Madar: Thank you, Russ, and good morning, everyone. Our message today can be summed up in 3 sentences. Business is booming. Demand is very strong. And virtually all our brands are outperforming what we budgeted at the beginning of the year. So let me move into details. Through the first half of 2021, sales in our largest market, North America, rose 59% as compared to 2019. That is huge. Sales in Western Europe and Asia were relatively flat with the first half 2019, and that's pretty good. Sales in 2 of our smaller markets, Eastern Europe and Central and South America, were ahead, 54% and 10%, respectively, over the first half of 2019, while sales in the Middle East declined 23%. Our 4 largest brands are running ahead of 2019 as Montblanc, Jimmy Choo, Coach and GUESS rose 3% for Montblanc, 39% for Jimmy Choo, 34% for Coach and 58% for GUESS compared to the first half of 2019. You may recall that we launched Explorer for Montblanc in 2019, and hence, the less dramatic comparison. Although international travel is slowly resuming, the impact on our travel retail duty free business is barely noticeable. Pre-pandemic, this business historically represented around 15% of our net sales. That said, online sales have been quite good. Just a reminder, we do not directly conduct e-commerce with consumers, but our products are sold across multiple Internet platforms. Our products are sold through the websites of department stores and specialty stores, mega online sites like Tmall and Amazon and the websites of our licensors. On the related subject, Origines-parfums, in which we acquired a minority interest effective July 2020, has been doing quite well with strong sales growth. But because it's a minority interest, itself are not consolidated. Of course, the big news over the last month is Ferragamo. We are delighted to welcome Ferragamo to our portfolio of fragrance brands, which will officially happen in October 1. Ferragamo has been a timeless classic luxury brand for generations of quality-driven consumers. With its origins dating to the early '70s, 1970, Ferragamo Parfum encompasses a large and exquisite suite of men's and women's fragrance that are produced in Italy and distributed worldwide. From our work studying the brand's potential, we are confident that the expertise we bring to product development, the packaging, the advertising, marketing and distribution will elevate the brand's fragrance profile, along with its sales, especially in the brand's largest markets, which is China and North America, where we have established a very strong presence. We are purchasing the assets of the business, including inventory, tools, molds, which are folded into a wholly-owned Italian subsidiary, which we will manage, operate and grow in Florence, Italy. We are also taking on Ferragamo's obligation, including employment agreements and contractual agreements with suppliers and distributors. In conjunction with the acquisition agreement, at closing, we will sign a 10-year exclusive worldwide license agreement with a 5-year optional extension with the Salvatore Ferragamo Group with, of course, royalty [ph] and minimum advertising requirements as are customary in the industry. Our plan calls for both legacy and new fragrance products to continue to be produced in Italy. And we have targeted 2023 for our first new product launch for the brand. The Salvatore Ferragamo Group has entrusted Inter Parfums as its fragrance partner because of the success we have enjoyed providing fragrance brands that have not lived up to their potential. We have made a commitment to the Ferragamo Group to devote the attention and resources necessary to grow the Ferragamo Fragrance business within the selective luxury distribution framework that we have established within our global distribution network. But we are not done yet. Growing our brand portfolio remains a high priority with a focus on names which have a reasonably large established fragrance business and whose owners believe their fragrance brand is underserved by their current licensee. We have been very successful taking on the challenge of taking other fragrance brands that who are not living up to their potential and reinvigorating their sales. I want to use this opportunity to acknowledge our suppliers throughout the world. Our relationships with them were cemented during the pandemic, and that was among the reasons why we were able to maintain sufficient inventory of finished good and components to fulfill the surge in orders [indiscernible] and book the sales. [ph] Supply chain challenges have been more prevalent in recent weeks, as everybody knows, but we have been here before and have always been able to maneuver through and resolve these issues. Before taking your questions, we want to share some dates with you. Inter Parfums will participate in a number of virtual investor conferences, including the Citi Mid Cap Consumer Conference on September 29 and Citi Global Consumer Conference, which went from December 7 to December 9. We will also present at the Jefferies West Coast Consumer Conference, November 16 and November 17. And also, we are planning to once again host our Annual Meeting of Shareholders virtually on Tuesday, October 5 at 10 a.m. We look forward to reporting on our progress as the year unfolds. So it's 11:20. And operator, we can open the floor to questions.
Operator: [Operator Instructions] Our first question comes from Linda Bolton-Weiser with D.A. Davidson.
Linda Bolton-Weiser: So I was just curious about, Russ, your comments on gross margin. I mean you compared it to the second quarter of '19. But actually, if you look at it just like compared to the first quarter of '21, it actually went up sequentially. So I'm just curious why that is because the euro comparison is actually unfavorable in the second quarter. So why was the gross margin even higher in the second quarter than the first quarter? Can you just give a little more color on that?
Russell Greenberg: Certainly, Linda. A lot of it -- it was actually up for both the 3- and the 6-month period. And much of that is due to the increase in the sales and us being able to leverage some of the fixed costs that are included in the gross margin. As you know, certain depreciation of tools and molds, especially here in the United States, that's more of a fixed expense that is included in the gross margin so that when sales are higher, you're better able to leverage those types of expenses. In addition, and this goes more for the European operations, the number and percentage of gift sets that are sold during the course of the quarter in 2021, whereas a percentage of total sales, were much less than that of 2020. And that also attributed to the increase in the sales in the gross margin during that period.
Linda Bolton-Weiser: Okay. And then can you just give a little bit more color on the Ferragamo license, like maybe the long-term potential of that brand? I mean I know it has existing sales. Can you give us a size perhaps of the annual revenue currently? And then how do you see it sizing up versus some of your other franchises?
Jean Madar: Yes. Russ, do you want to try to answer?
Russell Greenberg: Yes. The Ferragamo fragrance business was in the high double digits for many, many years. And Ferragamo was publicly traded, so a lot of this information is really available online and you can see it for yourselves. We really have not gone out and publicly disclosed their numbers, and I really don't want to. But needless to say, the fragrance sales as a result of the COVID-19 pandemic were impacted severely during the course of the last year to 2 years. So our goal is really to be able to reinvigorate and bring back Ferragamo to its -- the levels that it has seen for the last 10, 15 years. And that's really where the goal is. I don't really want to enumerate and put specific dollar figures out there, but there's probably enough information in the public domain that you could probably research and find it for yourself. Jean, do you agree on that?
Jean Madar: Yes, the information is public, so I'm not very sure going [ph] -- but -- so we know Ferragamo for a while. The fragrance were run internally by their fashion house. But we met again during the pandemic and Ferragamo management decided to really look at our proposal of licensing because it was difficult for them to fight alone in this environment. So by joining our portfolio, Ferragamo is much stronger. Ferragamo will benefit from the strength of our brands, from other brands, from the strength of our distribution. We have big plans for Ferragamo. There is an existing business that is absolutely fine. And the idea will be to launch a new product in 2023, with all the strong elements of the brand. The brand is known, we don't have any issues with perception of the brand. We just need to reestablish them as the top luxury fragrance in the market. we think it's totally achievable, and we give ourselves 2 to 3 years to be back in -- at the level that they were pre-COVID.
Linda Bolton-Weiser: Okay. And then, can I just -- yes. Can I just -- yes, you mentioned cost inflation that it's kind of changing and becoming a little bit more so in the third quarter. Are you including in your guidance specifically any margin pressure from increased costs? Or are you hoping to offset? Or what is exactly included in your guidance?
Russell Greenberg: Yes. That's a...
Jean Madar: In the guidance we have -- I'm sorry. In the guidance we have, of course, we look at our cost. And that's true that certain part of our cost of goods are going up. Like Russ mentioned, the freight worldwide is going up. So our freighting is up. So our cost of bringing components and moving components worldwide is up. But we have also a major challenge on the supply. So we have to accept certain price increase. All this is already taken into account in our new -- for China in our new guidance. Russ?
Russell Greenberg: Yes, that's exactly what I was going to say. When we issued the -- and revised our guidance most recently, when we announced sales back, I think it was the 19th, this new guidance definitely includes the effects of some of the supply chain issues that we are seeing. The sales were prepared on a relatively conservative basis to take that into consideration. From a margin standpoint, we've absolutely incorporated some of the additional transportation costs that we have seen. That was -- that's really the biggest inflation area that we're faced with at the current time. Transportation costs are up, in some cases, 200% to 300%. So moving components from country to country, we are taking a deep dive and looking at what we can do in order to get around some of those increases. But as far as the numbers that we've projected for the remainder of the year, we've definitely taken into consideration the lion's share of the potential effects.
Operator: Our next question comes from Steph Wissink with Jefferies.
Stephanie Wissink: I also have a few questions, if I could. Russ, this one is for you on marketing. I was wondering if you can help us think through the cadence in the second semester. Is there a weighting by quarter, Q3, Q4? Or how do you want us to kind of model on A&P for the back half?
Russell Greenberg: Yes. Certainly, based upon what we see is from the sales trends, Q3 and Q4 from a sales standpoint will probably be relatively closer together than they have in the past. But from an advertising standpoint, our advertising expenditures are always much more concentrated in Q4 than in Q3. In addition, we have an initial, call it, a small exclusive prelaunch for Moncler coming up in the fourth quarter. And in anticipation of the 2022 launch for Moncler, we know that we've already allocated certain dollars of marketing spend that we're probably going to put into the marketplace in Q4 in -- to kind of advance and in anticipation of the 2022 launch of the new Moncler fragrance. So I would definitely say that things are going to be much more concentrated in Q4 than Q3.
Stephanie Wissink: All right. Very helpful. And then my second question is just in relation to Linda's question on cost. Do you have any plans to raise price? And if you do, what's the process to raise like-for-like price on your product in the market already? Do you have to give retailers notice? How quickly can you implement? What should we be thinking about for pricing?
Jean Madar: Yes, we have not raised prices for more than 3 years, but we have decided to increase prices. We gave notice to most of our customers on August 1, so this was not a long time ago, that we will have a certain price increase on January 1. Reception was quite accepted because we don't do this often. And it seems that all our competitors are doing it. So we didn't see any issues with that. Price increase that we are talking about is anywhere from 2% to 4%.
Stephanie Wissink: Very helpful. And my last one, and maybe, Jean, this is for you, is just bigger picture, thinking about how consumers are engaging in the category. It's just really been so impressive year-to-date. Has there been any change by channel or by specific distribution point where you're seeing consumer behavior coming back out of the backside of COVID, maybe turning up a little bit differently in different destinations than you would have expected?
Jean Madar: Not really, I don't see any changes. The online business continue to be strong. The department stores and the specialty and perfumery business is also good. It's -- the business is good, really on all the channels. Well -- but what we see is quite impressive because we are receiving orders today that we cannot fulfill because they are way, way above our forecast. So we see the stores only the quantity that they can sell in the next month or 2. Nobody -- definitely, nobody has a lot of inventory. Actually, some stores are complaining because they would like to have more inventory. We are in a very good position. The inventories at stores is moving very, very fast. We are shipping on a daily basis. Some store, weekly basis. Some stores, the products move very fast. We have not seen this for a long time. I don't remember in the last 5 years I have seen such a strong demand for -- across our brands.
Operator: Our next question comes from Hamed Khorsand with BWS Financial.
Hamed Khorsand: Just on the comment you just made about inventory. Is it -- do you think that you're picking up share, or is the entire pie actually expanding faster than you think?
Jean Madar: So in certain markets, in the U.S., we are definitely picking up shares because we were one of the first ones to ship again. We were one of the first one to respond again in marketing and advertising. So definitely, we are taking market share. In Europe, it's a little bit different. It's a little bit slower because some markets are not fully open as we speak. So it's on and off. But in the U.S. and in China, we are definitely taking market share.
Hamed Khorsand: And what do you assess as far as the duty-free stores comprising of your revenue right now? Are they back to normal for you?
Jean Madar: No, no, no. We are very, very, very far from normal, very far. As I said in my comments, it used to present close to 15% of our business. We are still very, very far. We've seen some strong business in China with, of course, Hainan. Also, we are seeing some strong business in Korea Duty Free, we have some Chinese travelers. So Korea Duty Free, China Duty free is outperforming. But overall, we are way, way below our normal percentage of sales in travel retail.
Hamed Khorsand: And my final question was, how do you describe or assess your '22 product launch plans? Is it going to be as robust as it was this year?
Jean Madar: We have a mix of very important launches, what we call the blockbuster launches. And, of course, a flanker to keep the line running. So we have a great mix going forward. The market is really looking at all of our programs and there we're standing quite positively. So all our -- the problem today is more manufacturing and making sure to have more inventory in order to supply all the demand. But this demand was not forecasted. That's why we raised already twice our guidance. As you know, the company is quite conservative when we give guidance. So we'll wait a little bit more, I will say, another month or 2 before we review again. But the challenge is we have the orders, we have customers, we just have to supply them. So it's a good problem to have, and we are doing quite well.
Operator: There are no further questions at this time. I'll turn the call back to management for closing remarks.
Russell Greenberg: Thank you. Thank you all for tuning into our conference call. As usual, if you do have any further questions, I can be contacted by email. Thank you once again for tuning into the call. Stay well and stay safe.
Operator: This concludes today's conference. All parties may disconnect. Have a great day.